Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Meta Financial Group Investor Conference Call for the Second Fiscal Quarter of 2022. During the presentation, all participants will be in a listen-only mode. Following the prepared remarks, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded. I would now like to turn the conference call over to Justin Schempp, Vice President of Investor Relations and Financial Reporting. Please go ahead.
Justin Schempp: Thank you. And welcome everyone to the Meta Financial Group’s second fiscal quarter of 2020 conference call and webcast. Our CEO, Brett Pharr; President, Anthony Sharett; and CFO, Glen Herrick will discuss our operating and financial results, after which we will take your questions. Additional information, including the earnings release and investor presentation may be found on our website at metafinancialgroup.com. As a reminder, our comments may include forward-looking statements. These statements are subject to risks and uncertainties that could cause actual and anticipated results to differ. The company undertakes no obligation to update any forward-looking statement. Please refer to the cautionary language in the earnings release, investor presentation, and in Meta’s filings with the Securities and Exchange Commission, including our most recent filings for additional information, covering factors that could cause actual results to differ materially from the forward-looking statements. Additionally, today, we will -- may be discussing certain non-GAAP financial measures on this conference call. References to non-GAAP measures are only provided to assist you in understanding Meta’s results and performance trends. Reconciliations for such non-GAAP measures are included within the appendix of the investor presentation. Now, let me turn the call over to Brett Pharr, our CEO.
Brett Pharr: Thank you, everyone for joining Meta Financial Group's second fiscal quarter 2022 earnings call. I want to begin by referencing the exciting news of our new name, Pathward Financial, which we announced last month. Pathward is born out of our company's purpose to power our financial inclusion for all and our commitment to providing a path forward to people and businesses so they can reach the next stage of their financial journey. The name reflects our dedication to removing barriers that prevent millions of Americans from achieving access to the financial system and will serve as a constant reminder of our mission to create a path forward for the unbanked, under-banked, and under-served to help them achieve economic mobility. We will make some changes immediately to integrate the Pathward name and work with our partners in the coming months to ensure a successful transition for each of them. We will complete the transition to Pathward by calendar year end including the launch of a new brand identity and website. Until then we will continue to serve our customers under existing brand names. During the second quarter, we recognized $2.8 million of pretax expenses, related to these rebranding efforts and we continue to estimate our total rebranding expenses to a range between $15 million to $20 million. Turning now to our financial results for the second quarter, net income was $49.3 million, down $9.8 million compared to $59.1 million in the prior year. Earnings per share for the quarter was $1.66 as compared to $1.84 in the prior year. Our income taxes and tax rate were up significantly compared to last year, as uncertainty around government infrastructure funding and supply chain constraints delayed the development of renewable energy projects in our pipeline.  While this is beginning to return to normal, our fiscal 2022 tax rate will be higher than expected. In addition, the 2022 tax season deals had mixed results. Year-over-year total tax product revenue was up slightly, while total tax services product expense was approximately flat. However, we believe child tax credits and excess liquidity from various stimulus programs reduced our expected year-over-year increase for our taxpayer advanced product. Otherwise, the balance of our businesses posted good results. Our commercial finance portfolio saw continued healthy loan growth from satisfying the robust demand of small and medium sized businesses for credit. We believe our collateralized commercial finance portfolios are especially well-positioned for any potential down economic cycles, as they have demonstrated during prior cycles. Our core banking-as-a-service business continues to grow. With increased activity from both new and existing partners, and our pipeline of opportunities remain strong. Looking ahead, we are optimistic about the prospects of a rising rate environment. Our low cost of funds deposit base, combined with the mix of our earning assets, position Meta for meaningful interest income growth under a rising rate scenario. Now, let me turn the call over to our President, Anthony Sharett to provide updates on our lines of business.
Anthony Sharett: Thank you, Brett. During the quarter, we have further refined how we innovate and co-create with our partners and clients across our businesses to foster and deepen our relationships. We remain focused on executing on our strong pipeline of banking-as-a-service opportunities, building out new and enhanced products and capabilities to serve a broad variety of Fintechs, Neobanks, Challenger banks and others wishing to offer banking services through their distribution channels. Turning to commercial finance, we were pleased with how well the division performed during the quarter. Our commercial finance loan portfolio totaled $2.9 billion at March 31, an increase of 4% on a linked-quarter basis, and a 16% increase year-over-year, reflecting growth across our product lines. We continue to see strong demand for our commercial credit with a healthy pipeline of loans and lease. Total non-performing loans and leases as a percentage of total loans and leases improved 21 basis points from the prior quarter to 0.95%. The allowance as a percentage of loans and leases increased from 1.84% in the prior quarter to 2.38% in the current quarter due to the increase in the seasonal reserves for the tax service loan portfolio. Excluding the reserves for tax loans, reserves dropped from 1.84% to 1.59%. primarily driven by a reduction in commercial finance specific reserves. As the portfolio remains healthy. Overall, net charge offs for the quarter were $11.2 million, primarily a triple to the charge offs on two commercial finance relationships. Let me briefly touch on today's macro-economic environment. Historically, our commercial finance portfolio has performed well during recessionary cycles in periods of economic stress, both as it relates to demand as well as credit losses. In fact, we found such periods have opened up further opportunities for us in particular for our working capital lines, such as asset based lending, and factoring. Lastly, I want to highlight the continued progress in our environmental, social, and governance efforts. Earlier this week, Meta published its second annual ESG report. In addition to detailing our Community Impact Program, and our diversity, equity and inclusion initiatives, it contains enhanced quantitative reporting, which we will use to measure our ESG progress. Now, let me turn the call over to Glen Herrick, our CFO to provide an overview of our financials.
Glen Herrick: Thank you, Anthony and good afternoon everyone. Net income for the quarter ended March 31st totaled $49.3 million, or $1.66 per share, a decrease of $9.8 million from the second quarter of fiscal year 2021. Excluding $2.8 million of rebranding expenses and $900,000 of severance expenses, our adjusted net income for the second quarter net of taxes was $52.1 million. The second quarter's net interest income of $83.8 million represents a 13% increase from the prior years $73.9 million. Net interest income benefited from strong and long lease growth, favorable shifts in our earning asset mix, and additional tax loan interest. Quarterly average loans and leases grew $124 million or 3% compared to the prior year, driven by growth across our operating units, which was partially offset by the sale of the remaining community bank portfolio, lower average tech services loans, and Payment Protection Program loan pay downs. Continued balance sheet optimization combined with the reduction in excess cash from stimulus payments helped improve the second quarter net interest margin to 4.8% compared to 4.59% in the linked-quarter, and 3.07% in the prior year. Non-interest income of $109.8 million is down slightly from the $113.5 million recorded in the prior year. Payments fee income was $26.3 million, declined from $29.9 million in the second quarter of fiscal year 2021, which was inflated due to several rounds of stimulus payments. Core payments and deposit fee income remained strong. In addition, the quarter's non-interest income included a $1.3 million loss on the MoneyLion investment during the second fiscal quarter, Meta sold the entirety of its equity investment in MoneyLion. In total, we recognize the cumulative loss of approximately $400,000 on the investment dating back to the fourth quarter of fiscal 2021. This sale is in no way a view on MoneyLion's future and we continue to serve as MoneyLion's banking-as-a-service partner and anticipate growth in this relationship in the years ahead. Net total tax services product income, net of losses, and direct product expenses was approximately flat for the quarter. Fiscal year-to-date, it was up 6% over the prior year. Refund advance originations for the 2022 tax season were $1.83 billion as compared to $1.79 billion last year. We expect refund transfer volumes and product income for the overall tax season to end the season similar to last year. We also expect taxpayer advanced volumes to return to a more normalized levels in the 2023 tax season, absent further stimulus or additional changes to tax credit payments. Non-interest expenses increased 7% year-over-year, excluding the $2.8 million of rebranding expenses, and $900,000 in separation costs, core expenses of $99.5 million increased 4% from the prior year. The year-over-year increase in expenses reflects additional spending supporting the company's growth, as well as overall compensation and other inflationary pressures. Income tax expense increased to $8 million for the quarter, representing an effective tax rate of 13.8% as compared to $1.1 million, with an effective tax rate of 1.9% for the prior year. As previously noted, the increase was due to a reduction in renewable energy investment tax credits. When comparing to the prior year period, we repurchased 736,000 shares during the quarter at an average price of $57.01. As of March 31, we have 4.9 million shares remaining under the current repurchase program. At the end of March, we submitted the necessary notifications of our intention to retire our floating rates subordinated debt of $75 million at par in order to reduce interest expense, which is now set for redemption on May 15, 2022. The company remains well capitalized, with a regulatory leverage ratio for the bank of 7.8%. As a reminder, our March quarter leverage ratios are seasonally lower as a result of the higher average assets during the tax season. When using end of period assets, the bank's leverage ratio was 8.9%. That concludes our prepared remarks. Operator, please open up the lines for questions.
Operator: Yes, thank you. [Operator Instructions] Our first question comes from Frank Schiraldi with Piper Sandler. Frank, your line is now open.
Frank Schiraldi: Hey guys.
Brett Pharr: Hey, Frank, how are you doing?
Frank Schiraldi: Good. how are you doing?
Brett Pharr: Good.
Frank Schiraldi: Well, just starting with the card fee income. I wonder if it would be possible just given the pipeline you guys have currently. And then considering the stimulus last year and year-over-year limitations from that. Any color you can provide in terms of where you expect that to trend for the remainder of the fiscal year?
Brett Pharr: Hey, Anthony, why don’t you talk about our business pipeline, and then Glen you might just give him any information on the fee income specifically?
Anthony Sharett: Sure. Thanks Frank. As you noted, fiscal year 2021 was elevated due to the numerous rounds of stimulus. So, we certainly recognize that. Going forward, we expect continued growth from both existing and new partnerships with a focus on fee income generating opportunities. So, our pipeline remains strong. Glen?
Glen Herrick: Hi, Frank, what we would expect, as you know, the March quarter is seasonally our highest quarter of card fee income, not only for our activities and directly in the tax space, but many of our partners have customers that love their tax refunds on their card. So, we would expect card fee income to be a little lower in the coming quarters compared to tax season, but then reset that base for growth from there.
Frank Schiraldi: Okay. And then, in terms of expenses -- sorry, if I missed something in the release, I saw the rebranding efforts. Was there anything else other than the tax business that kind of bumped expenses higher on a temporary basis? Just wondering, again, same sort of question on the expense base, any sort of color on where that could flush out in a more normal quarter?
Brett Pharr: Yes, Frank, of course, we reported the amount that was associated with the rebrand. I'll tell you we're experiencing inflationary pressures like everybody else in some of these categories, particularly around compensation and some of our particular disciplines are hot right now and so some of that has to do with the inflationary pressures there.
Glen Herrick: And, Frank, we also noted, we have $900,000 of separation expense this quarter.
Frank Schiraldi: Okay, so you got separation expense, you got the rebranding, and then there's -- in terms of the comp line, there's a significant amount that just flows through this quarter for the tax season, right. Is that right?
Glen Herrick: Sure. Comp expense will be lower the next three quarters.
Frank Schiraldi: Okay, so I guess I'm thinking about comp from the December quarter, is at a better run rate or than -- something in the March--
Glen Herrick: It's a good starting point. We'll see how things shake out. As Brett mentioned, there's a lot of pressure on compensation and given this -- given our history in banking-as-a-service, you might imagine there's a lot of pressure on our staff as, especially as folks entering this market go looking for talent.
Frank Schiraldi: Sure. Okay. And then just on the -- one thing from the model that caught my attention, you might have mentioned that Glen, but the tax services of course, it can't And finally run out with the tax services yield in the quarter was much higher than a year ago period. And just wondering if you could talk a little bit about I know, that's really only an issue that we see in the March quarter that the tax business loans, but why was it so much higher just year-over-year those yields?
Glen Herrick: One of our tax partners, there was a new product or sub product that had an interest component to it. I have not been there.
Frank Schiraldi: So, I mean, I guess, thinking about next year, as we do our modeling for next year, it's not unreasonable to assume that that product would be back again. It's not a temporary blip, I guess.
Glen Herrick: No, that’s not temporary.
Frank Schiraldi: Okay. All right. Just if I could sneak in one last one, just on the -- you talked about in the release, you had, at the end -- I think it was end the period, you had $1.85 billion in customer deposits at other banks. And I assume that's still the direct stimulus stuff, but I'm just wondering if you have expanded that at all to additional partnerships?
Brett Pharr: Yes, Frank, one of the things that we learned through the stimulus program is really how to better exercise our deposit transference capability, which is what you're talking about. And we continue to expect to maintain a flat balance sheet. And the way we'll do that and still generate meaningful growth and card fee income, is by increasing our use of deposit transference. So, I don't know that we have disclosed any numbers on it, but not all those deposits that are off the balance sheet are stimulus related.
Frank Schiraldi: Okay, great. Well, I'll let someone else jump in and ask a question. Thanks guys.
Brett Pharr: Thank you.
Operator: Thank you, Frank. Our next question comes from Michael Perito with KBW. Michael your line is now open.
Michael Perito: Hey, good afternoon, guys.
Brett Pharr: Hey, Michael.
Michael Perito: On the tax -- the total tax season, I think you guys said and wrote in the release that you expect the kind of total season revenues. I think, if I heard you correctly to be similar year-on-year, I guess the specific question is last year, you guys had quite a bit more refund transfer volume in the fiscal third quarter than the normal? I think there might have been some delays. It feels like 10 years ago now, who can remember? But I just I guess it said another way is that -- it seems like that could be expected to occur to some degree again, and I just want to clarify that I'm hearing that correctly.
Brett Pharr: Hey Glen, why don’t you take that?
Glen Herrick: Sure. Hi, Mike. The -- yes, so we're really talking about net tax earnings -- tax business earnings. We are 6% ahead of last year year-over-year. But to your specific question, we think that'll contract a little bit because last year -- while we will still have some that'll carry over into the third quarter, there was a higher percentage of carryover last year in the third quarter because of more delays last year on a relative basis than the delays this year by the IRS.
Michael Perito: Got it. Okay. All right. So, you're talking something more like fiscal 3Q 2020 than fiscal 3Q 2021, which was unusually elevated. Now, not to say that that's where it would be but directionally--
Glen Herrick: Yes.
Michael Perito: Yes. Okay. Great. And then on the margin, I saw on the presentation, you guys kind of have the updated parallel and ramped shock, but obviously, it's a pretty dynamic rate environment here Glen and I was curious if you could maybe spend a minute and just give us your thoughts about where we go from the 478 here today -- or the 441 I should say today to -- if we do get some type of scenario where you get a 50 basis point hike in May or, because I correct me if I'm wrong I guess the reason for the question is you guys with your funding, there should be less of kind of a law of diminishing returns here as we get deeper into the tightening cycle, correct? I mean, you guys would expect to be able to maintain your benefit per hike, probably at a better rate than other banks who deposit betas would theoretically rises as the rates go higher, Does that make sense and are you able to give us any indication of where the NIM might go in the current kind of consensus outlook on forward curve?
Brett Pharr: Mike, this is Brett. So, I think you described it very well. What I would say is that we have to go through a little bit of a period of repricing. So, even though when you have variable rate transactions or you have very short duration items, it takes a little bit of time. So, -- but your description -- this is our best time, right? Because rates are going up, we -- unlike others, we have the greatest benefit of rates going up. And we're going to receive a great deal of benefit from it. But most of its going to show up in fiscal year 2023 and onward, just because of the repricing time that it takes even for short duration instruments.
Glen Herrick: And then, Mike, I would add on specifically so -- we talked about 4% in the ramp model, we're comfortable with that at 100 basis points. as Brett alluded to it, it all depends where's the demand. And for us, it's less around the deposit beta and more about the loan pricing beta and where competition goes, how fast the liquidity washes out and other banks or finance companies. But certainly, it should be a net positive for us.
Michael Perito: Okay, and then just lastly, for me on the charge-off the non-tax related charge-offs in the quarter, I think I saw somewhere in -- on the presentation that there were a couple factoring relationships that that you guys charged-off. Wondering if you give us a little bit more color there. Any other credit commentaries? As you look forward, obviously, there's some increasing concerns about some consumers, small business, health deterioration later this year into 2023, curious what you guys are seeing as well, just more broadly, as it stands today?
Brett Pharr: Yes, so it's a good question. So, we have a very robust collateral management process. That is the last part of your question, as we go into a recession benefits from two things. One is, we will have much more control of collateral and therefore, any potential losses. Secondly, particularly our working capital lines, are going to get the opportunity to grow quite a bit because others will be fleeing traditional banks. And they'll need our collateral managed process, which, throughout multiple cycles has done extremely well with very low loss rates. What happens in some of these is everyone saw you get a one-off. And we got a couple of one offs through this. But there's the portfolio is very strong, it's performing well. All of our collateral management controls are executing as they have been for a decade and that business. So, even as we enter into what could be a recessionary environment, we're very confident about the control environment we have there.
Glen Herrick: And I would add our in our non-performing loans are a low point of the last 18 months.
Michael Perito: Great. Thank you guys for taking my questions. Appreciate it.
Brett Pharr: Thank you.
Operator: Thank you, Michael. There are no further questions in queue. [Operator Instructions] Our next question comes from Steve Moss with B. Riley Securities. Steve, your line is now open.
Steve Moss: Good afternoon, guys. Not sure what happened there. In terms of just -- one, just touch on your expectations for taxes next season. I guess I'm a little surprised by the weakness here. We saw a lot of inflation over the last nine to 12 months and I know we had stimulus, but kind of what gives you as a comfort that you will get a rebound next year. I just thought the higher inflation we saw here would have perhaps impacted consumer a bit more to driven demand at a better level.
Brett Pharr: Hey, Glen, you want to take that?
Glen Herrick: Yes. Steve, are you talking to specific like that the tax rate and the investment tax credits or are you talking about no card activity?
Steve Moss: The refund advanced product?
Glen Herrick: The refund advances. Okay, I'm sorry. Well, a large component of the customers that our partners serve tax business are those with earned income tax credits, where they receive sizable refunds every year. And those refunds were lower this year on average because of the child tax credits that were received throughout calendar year 2021. And that's where he see our refund transfer -- our payment tax payment processing product did well and will grow that a little bit year-over-year year the refund advances which are tied closer to the refund amounts, those are -- they're basically the same year-over-year, well, we thought they would be higher this year.
Steve Moss: Okay, that's helpful. I just appreciate that clarity there. And then maybe just on the changing environment here with rates moving kind of curious. I mean, obviously, you guys benefit from rate hikes. Just kind of curious, are you seeing any changes in loan pricing already here? Just given, moves in the curve and if there's any dislocation, that's already creating some maybe some extra activity for you guys?
Brett Pharr: Yes, so a couple things. One, obviously, variable rate items that did not have floors. Now, some of them do have floors, but ones that have floors, obviously, we're getting more on it right now. So, I think that's going on. There still is excess liquidity out there. So, particularly on some of the fixed rate stuff, we're seeing some pricing that we're not willing to chase. So, you might see that more in like the leasing portfolio, et cetera. The last thing I would say is, the migration out of banks, traditional lenders is already starting. We are looking at more ABL deals, dollars-wise than we have in a long time. And so we're going into those and picking and choosing which ones that we want to do that meet our credit profile, and our pricing profile. We think that's just the beginning, as rates have their impact and goes to the economy, I think we'll get a lot more opportunities to grow the working capital. If you look at our asset based lending and factoring line growth over the last 12 months link quarter, it's already had significant growth, but most of that was through same client additional sales, post COVID. Now we're getting new lines, but on the books as well. So, I expect to see that line to be growing quite a bit over the next few quarters.
Steve Moss: Okay, that's really helpful. And then maybe just in terms of -- obviously, with the stresses coming on the system, just kind of curious as to how we think about reserve modeling going forward with CECL and all that stuff. Just kind of curious, is this kind of like the bottom in the reserve xx, xx, tax, and just kind of what your guys thought process is there?
Brett Pharr: Glen, I'll let you take that one.
Glen Herrick: Yes, hard to predict, Steve. If this recession actually occurs or not, certainly that's where bets are going. If you're a bank investor, it seems like everyone's assuming there's going to be a recession. And even if there is some pullback in the economy, given that we still haven’t unwound all our COVID pandemic CECL factors, I wouldn't think this would be a bottom necessarily, for us at all. In fact, again, depending on how bad it gets, there could still be some room for us to bring down allowance levels, but I wouldn't expect them to head higher from here unless things get really bad.
Steve Moss: Okay. And then maybe--
Glen Herrick: I just going to have to say and that's primarily based on the asset classes that we have and really being focused on that, collateralized commercial finance.
Steve Moss: Right. Okay. And then maybe on the securities portfolio here, just kind of curious as to -- what the duration of the portfolio is? Kind of curious how you're thinking about cash flows and what your reinvestment rate is? These days or -- given that you're seeing more customer demand, we should start thinking more about a bit of a -- continuing to see that re-mixing till the loans.
Glen Herrick: Yes, we're going to remix next hard. We'll remix hard this year again. And so we -- duration were four, four and a half years, we're right in that range. And -- so hopefully, we've taken the worst of the OCI impact, kind of measure that more towards the five-year and but we also have a number. So we're, well amortize off $30 plus million a month easily, that will amortize off, as well as we have a number of variable rate securities, that we could liquidate as we as, as our commercial finance portfolio grows.
Steve Moss: Okay. And then lastly, maybe just on -- sure you guys on the redemption of the sub debt. Just kind of curious on your level of your appetite to buy back here going forward.
Brett Pharr: Yes, I mean, obviously, we talked about the sub debt. We have to remember, as I alluded to earlier, we're going to manage as best we can to a flat balance sheet, which means unlike other financial institutions, we don't have to grow capital to grow income. And so as it is available, we will distribute it to our shareholders in tax efficient way. And right now, the best way for that to happen is through stock buybacks when we can.
Steve Moss: All right. Thank you very much. Appreciate all that.
Operator: Thank you, Steve. Our next question comes from William Wallace with Raymond James. William, your line is now open.
William Wallace: Thank you. Hi, guys. Question on the -- so, your loan growth was a little bit lighter than I might have anticipated, given what we've been seeing across the industry? I'm wondering one, it looks like maybe more of the consumer products are a little bit slower. I'm wondering if any of this by design or is it just a function of it is what it is I can maybe provide a little commentary around the loan growth and how that performed relative to your expectations?
Brett Pharr: Yes, I mean, I'd hit a few things depends on which line you're looking at. But if you'd look linked-quarter to linked-quarter, remember, we're down to 150 million and PPP loans from you know, a year ago, we got rid of the entire community bank portfolio, which is document and presentation, which was pretty big. And last year, the tax refund pay downs came slower. And so you know, you had a little bit more of a hangover there. So actually, we cleaned all that up. Total loans, we had a pretty good growth rate.
William Wallace: Well, I guess I'm looking at it on a sequential basis in the fourth quarter, excluding the community bank impact, it looks like you are growing in the 20% annualized, and then in the fiscal first quarter, it looks like it was even in the 30% annualized. And this looks pretty clean to me, it's low single-digits. So that's, that's where my question is. Questions being derived from, it's really more sequential than year-over-year.
Brett Pharr: Yes. Glen, anything you want to add to that?
Glen Herrick: No, I mean, there's some seasonality in some of the commercial finance, we're never targeting 20%-plus loan girl, so I think annualized will be in the mid-teens, as we talked about off of a larger denominator in our commercial finance and so it's what's we expected, consumer we're not, not in a rush, a lot of those are forward flow commitments. And so depending on the timing of the sales, those will move up, up and down, we're never going to hold a lot of consumer loans on balance sheet. And then you've got various timing in your government guaranteed, your SBA loans as well. So, we're happy with commercial finance loan grow, and we're very optimistic about opportunities there over the next couple of quarters for sure.
William Wallace: Okay, do you all look for other avenues to deploy liquidity into other higher yielding assets other than your commercial finance business? Is that you know, maybe credit sponsorship or with some of your Fintechs or anything like that?
Brett Pharr: Go ahead, Glen.
Glen Herrick: Well, that's what our consumer credit products primarily are there. We don't call it credit sponsorship anymore. It's really banking-as-a-service partnership lending is what we're doing and we want to be more than just running out a charter and we think we've proven that and bring some different capabilities as well as other products to that mix. And that's where we'll use that. You see our warehouse finance portfolio is a way for us to deploy liquidity into very, very good risk adjusted returns than the securities portfolio. So, some of that is -- as the routine flexibility as our commercial finance loan portfolio grows, so long way of saying yes, Wally.
William Wallace: Okay. I appreciate that. That's all I had. I'll step out. Thank you.
Glen Herrick: Yes. Thanks.
Brett Pharr: Thanks Wally.
Operator: Thank you, William. And that concludes the Meta Financial Group second quarter fiscal year conference call. Thank you for your participation. You may now disconnect your line.